Operator: Good afternoon, and welcome to the Agilent Technologies Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And now, I'd like to introduce you to the host for today's conference, Ankur Dhingra, Vice President of Investor Relations. Sir, please go ahead.
Ankur Dhingra: Thank you, and welcome everyone to Agilent's fourth quarter and full-year conference call for fiscal year 2020. With me are Mike McMullen, Agilent's President and CEO; and Bob McMahon, Agilent's Senior Vice President and CFO. Joining in the Q&A after Bob's comments will be: Jacob Thaysen, President of Agilent's Life Sciences & Applied Markets Group; Sam Raha, President of Agilent's Diagnostics and Genomics Group; and Padraig McDonnell, President of Agilent CrossLab Group. This presentation is being webcast live. The news release, Investor presentation, and information to supplement today's discussion along with the recording of this webcast are made available on our Web site at investor.agilent.com. Today's comments by Mike and Bob will refer to non-GAAP financial measures. You will find the most directly comparable GAAP financial metrics and reconciliations on our Web site. Unless otherwise noted, all references to increases or decreases in financial metrics are year-over-year, and references to revenue growth are on a core basis. Core revenue growth excludes the impact of currency, and the acquisitions and divestitures completed within the past 12 months. Guidance is based on exchange rates as of October 31, 2020. We will also make forward-looking statements about the financial performance of the company. These statements are subject to risks and uncertainties, and are only valid as of today. The company assumes no obligation to update them. Please look at the company's recent SEC filings for a more complete picture of our risks and other factors. Also, as announced, we will hold our virtual investor day in a few weeks, on December 9. The event with include presentations from our CEO, CFO, and the three group Presidents, followed by a Q&A. We look forward to having you join us on December 9. And now, I would like to turn the call over to Mike.
Mike McMullen: Thanks, Ankur, and thanks to everyone for joining us on our call today. Today, I want to get straight to our quarterly results, because they tell a very compelling story. The Agilent team delivered a very strong close to 2020. We posted revenues of $1.48 billion during the quarter. Revenues are up 8% on a reported basis, and up 6% core. Operating margins are a healthy 24.9%. EPS of $0.98 is up 10% year-over-year. These numbers tell the story of a strong resilient company that's built for continued growth. Our better than expected results are due to the strength of our core business, along with signs of recovery in our end markets. Geographically, China continues to lead the way with double-digit growth. From an end-market view, both our pharmaceutical and food businesses grew double-digits. In addition, our chemical and energy business grew after two quarters of declines, exceeding our expectations. We also saw a rebound in U.S. sales during the quarter. Overall, COVID-19 tailwinds contributed just over two points of core growth. Achieving these results in the face of a global pandemic is a tribute to our team and the company we've built over the last five years. I couldn't be more pleased with the way the Agilent team has performed over the last quarter and throughout 2020. We have again proven our ability to work together and step up to meet any challenge that comes our way. During the quarter, all three of our business groups grew high single-digits on a reported basis. Our Life Sciences and Applied Markets Group generated $671 million in revenue, up 8% on a reported basis, and up 4% core. LSAG growth is broad-based. The cell analysis and mass spec businesses both grew at double-digit rates. In terms of end markets, chemical and energy returned to growth, food grew double-digits, and pharma high single-digits. LSAG remains extremely well-positioned and is outperforming the market. The Agilent CrossLab Group came in with revenues at $518 million. This is up a reported 9% and up 7% core. ACG's growth is also broad-based across end markets and geographies. Our focus on on-demand service is paying off as activities in our customer's labs continues to increase. The ACG team continues to build on it's already deep connections with our customers, helping them operate through the pandemic, and continue to drive improved efficiencies in lab operations. In the Diagnostics and Genomics Group, revenues were $294 million, up 9% reported, and up 7% core. Growth was broad-based, with NASD oligo manufacturing revenues up roughly 40%. The Genomics and pathology businesses continue to improve during the quarter. I'm also very proud of our NASD team for successfully ramping production at our new Frederick site this year. We have built a very strong position in this attractive market, with excellent long-term prospects for high growth. Let's now shift gears and look at our full-year fiscal 2020 results. Despite the disruption, uncertainty, and economic turmoil dealing with a global pandemic, the Agilent team delivered solid results. We generated $5.34 billion in revenue, up 3% on a reported basis, and up nearly 1% core. To put this in perspective, it's helpful to recall the progression of our growth. In Q1, we delivered 2% core growth, as you saw the first impact of COVID-19 in our business in China. Both Q2 and Q3 declined low single-digits as the pandemic spread across the globe and governments instituted broad shutdowns. With 6% core growth, 8% reported in Q4, we're seeing business and economies start to recover. As a result, we are clearly exiting 2020 with solid momentum. Our recurring types of businesses, represented by ACG and DGG prove resilient, growing low to mid single-digits for the year. In a very tough CapEx market, our LSAG instrument business declined only 2% for the year, and returned to growth in the final quarter. China led the way for our recovery with accelerating growth as the year progressed. In our end markets, pharma remained the most resilient, and food markets recovered most quickly. Full-year earnings per share grew 5% during fiscal 2020, to $3.28. The full-year operating margin of 23.5% is up 20 basis points over fiscal 2019. As we head into 2021 we do so with tremendous advantage. Our diverse industry-leading product portfolio has never been stronger. Our building and buying growth strategy, with the focus of high growth markets continues to deliver. Our ability to respond quickly to rapidly changing conditions is also serving us well. The way our sales and service teams have been able to quickly pivot to meet customer requirements during the pandemic has been nothing short of remarkable. You know, last year this time, I used this call to remind you of the Agilent shareholder value creation model. Our approach is focused on delivering above market growth, while expanding operating margin, along with a balanced deployment of capital. We prioritized the plan of our capital both internally and externally on additional growth. A few proof points on our growth-oriented capital deployment strategy. A year ago, we spoke about recently closing the BioTek acquisition and the promise of growth that BioTek represented. Today, BioTek is no longer a promise, but a driver of growth. In total, the cell analysis business generated more than $300 million in revenue for us during the year, with double-digit growth in Q4, and continued strong growth prospects. Similar to last year, I was talking about ramping up our new Frederick site facility, a $185 million capital investment. In addition to successfully ramping Frederick as we planned, we did so with an expanding book of business. We also recently announced additional $150 million investment to add future manufacturing capacity. We are aggressively adding capacity to capture future growth opportunities in this high-growth market. Even in the face of a pandemic, we stayed true to our build and buy strategy. We have clearly seen the advantages of our approach. I'm confident our strategy will continue to produce strong results for us. The strength of our team and resilience of our business model has served us well, and as you can see from the numbers, our growth strategy is producing outstanding results for our customers, employees, and shareholders. While uncertainty remains as we being fiscal 2021, we're operating from a position of strength. Because of this, we're cautiously optimistic about the future. We have built and will sustain our track record of delivering results, and working as a one Agilent team on behalf of our customers and shareholders. As I noted earlier, I couldn't be more pleased with the results the Agilent team delivered in the fourth quarter and throughout the year. Thank you for being on the call today, and I look forward to your questions. I will now hand the call off to Bob. Bob, you're up.
Bob McMahon: Thanks, Mike, and good afternoon, everyone. In my remarks today, I'll provide some additional revenue detail, and take you through the fourth quarter income statement, and some other key financial metrics. I'll then finish up with our outlook for 2021, and the first quarter. Unless otherwise noted, my remarks will focus on non-GAAP results. We are very pleased with our fourth quarter results as we saw strong growth exceeding our expectations, especially considering the ongoing challenges associated with COVID-19. For the quarter, revenue was $1.48 billion, reflecting core revenue growth of 5.6%. Reported growth was stronger, at 8.5%, currency contributed 1.7%, while M&A added 1.2 points of growth. From an end market perspective, pharma, our largest market, showed strength across all regions, and delivered 12% growth in the quarter. Both small and large molecule businesses grew, with large molecule posting strong double-digit growth. We continue to invest and build capabilities in faster growth biopharma markets, and offer leading solutions across both small and large molecule applications. The food market also experienced double-digit growth during the quarter, positing a 16% increase in revenue. While our growth in food business was broad-based, China led the way. And as Mike noted earlier, our chemical and energy market exceeded our expectations growing 3% after two quarters of double-digit declines. Well, one quarter does not a trend make, we are certainly pleased with this result, and the growth came primarily from the chemical and materials segment. Diagnostics and clinical revenue grew 1% during Q4 led by recovery in the U.S. and Europe. We continue to see recovery in non-COVID '19 testing as expected, although the levels that are still slightly below pre-COVID levels. Academia and government was flat to last year, continuing the steady improvement in this market, and revenue in the environmental and forensics market declined mid single-digits against a strong comparison to last year. On a geographic basis, all regions returned to growth. China continues to lead our results with broad based growth across most end markets. For the quarter, China finished with 13% growth, and ended the full-year up 7% just a great result from our team in China. The Americas delivered a strong performance during the quarter, growing 5% with results driven by large pharma food and chemical and energy, and in Europe, we grew 2% as we saw lab activity improved sequentially benefiting from our on-demand service business in ACG, as well as from a rebound in pathology and genomics as elective procedures and screening started to resume. However, while improving CapEx demand still lags are servicing consumables business. Now turning to the rest of the P&L, fourth quarter gross margin was 55%. This was down 150 basis points year-over-year, primarily by a shift in revenue mix and an unfavorable impact of FX on margin. In terms of operating margin, our fourth quarter margin was 24.9%. This is down 20 basis points from Q4 of last year. As we made some incremental growth focused investments in marketing and R&D, which we expect to benefit us in the coming year. The quarter also capped off with full-year operating margin of 23.5%, an increase of 20 basis points over fiscal 2019. Now wrapping up the income statement, our non-GAAP EPS for the quarter came in at $0.98, up 10% versus last year. Our full-year earnings per share of $3.28 increased 5%. In addition, our operating cash flow continues to be strong. In Q4, we had operating cash flow of $377 million, but more than $60 million over last year, and in Q4, we continued our balanced capital approach to repurchasing $2.48 million shares for $250 million. For the year, we repurchased just over 5.2 million shares for $469 million, and ended the fiscal year in a strong financial position with $1.4 billion in cash and just under $2.4 billion in debt; all-in-all, a very good end to the year. Now let's move on to our outlook for the 2021 fiscal year. We and our customers have been dealing with COVID-19 for nearly a full-year and are seeing our end markets recover. Visibility into the business cadence is improving, and as a result, we're initiating guidance for 2021. There is still a greater than usual level of uncertainty in the marketplace across most regions and so while we're providing guidance, we're doing so with a wider range than we have provided historically. It is with this perspective that we're taking a positive, but prudent view of Q1 in the coming year. For the full-year, we're expecting revenue to range between $5.6 billion and $5.7 billion, representing reported growth of 5% to 7% in core growth of 4% to 6%. This range takes into account the steady macro environment we're seeing. It does not contemplate any business disruptions caused by extended shutdowns like we saw in the first half of this year. In addition, we're expecting all three of our businesses to grow led by DGG. We expect DDG to grow high single-digits with the continued contribution of NASD ramp and the recovery in cancer diagnostics. We believe ACG will return to its historical high single-digit growth, while LSAG is expected to grow low to mid single-digits. We expect operating margin expansion of 50 to 70 basis points for the year, as we absorbed the build-out costs of the second line and our Frederick Colorado NASD site, and then helping you build out your models, we're planning for a tax rate of 14.75%, which is based on current tax policies, and 309 million of fully diluted shares outstanding, and this includes only anti-dilutive share buybacks. All this translates to a fiscal year 2021 non-GAAP earnings per share expected to be between $3.57, and $3.67 per share, resulting in double-digit growth at the midpoint. Finally, we expect operating cash flow of approximately $1 billion to $1.05 billion and an increase in capital expenditures to $200 million, driven by our NASD expansion. We have also announced raising our dividend by 8%, continuing an important streak of dividend increases, providing another source of value to our shareholders. Now, let's finish with our first quarter guidance, but before we get into the specifics, some additional context. Many places around the world are currently seeing renewed spikes in COVID-19 that could cause some additional economic uncertainty, and while we're extremely pleased with the momentum we have built during Q4, we are taking a prudent approach to our outlook for Q1 because of the current situation with the pandemic. For Q1, we're expecting revenue to range from $1.42 billion to $1.43 billion, representing recorded growth of 4.5% to 5.5%, and core growth of 3.5% to 4.5% and first quarter 2021 non-GAAP earnings are expected to be in the range of $0.85 to $0.88 per share. Before opening the call for questions, I want to conclude by echoing Mike's comments about the amazing work the Agilent team performed during fiscal 2020. To be where we are now, after knowing where we stood in March, is truly remarkable. Add to this the strong momentum we saw in Q4, I truly believe we are well-positioned to accelerate our growth in fiscal 2021. With that, Ankur, back to you for Q&A.
Ankur Dhingra: Thanks, Bob. David, let's provide the instructions for Q&A.
Operator: Certainly. [Operator Instructions] Your first question comes from the line of Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hey, guys, congrats on the good prints here, and a couple of questions for me.
Mike McMullen: Hey, Vijay.
Vijay Kumar: Mike, maybe first on the guidance part here, I guess with a Q1 guidance of 4.5% to 5.5% core, does it have -- does it assume any core tailwinds because, I guess you look at Q4, I mean 6% core, any reason why the core should slow down sequentially?
Mike McMullen: Yes, let me start with, Bob. So again, thanks for the earlier comments, Vijay. So how to characterize our Q1 guide is positive, but we're using a very prudent approach, and that we got a lot of confidence in that in terms of we're reinstating the guidance, and we had very good momentum in Q4, and we looked at the backlog, we feel very confident about reinstating guidance, but the virus is still out there, and we still think there's still a higher level of uncertainty that calls for a prudent approach, so hence the positive but prudent approach. If it turns out better we'd be -- we'd love to be in a position of being able to raise our outlook for the year, but we thought for the first guide for the year, including Q1, and we should take a positive and prudent approach, this is recognizing that the virus is still out there. Bob, I don't know if you'd like to add anything to that.
Bob McMahon: Yes, Vijay, I think a couple of things, you know, the thing that I would say is we didn't end the year with emptying the tank out, and feel really good about that, but that being said, we do have some business that is somewhat susceptible to some of these areas, and so we probably have greater visibility or variability in some of our diagnostics businesses. So, as Mike said, we're taking kind of prudent approach there, and the other area is we want to see more than just one quarter in the chemical and energy business. I think that's one of the areas where I think -- we think we're biased to the upside and the way we're kind of thinking about the business, but it's certainly with a recovery. We do expect some COVID tailwinds, to your point. It's probably on the order of roughly about one-and-a-half to two points, kind of consistent with what we've seen in the last -- the last several quarters. So that's kind of how we're thinking about it.
Vijay Kumar: That's helpful, Bob; and Mike, one bigger picture question for you. I think you mentioned NASD was up 40% in the quarter. Did that business accelerate NASD, and I'm curious, the longer-term opportunity here when you think about it, how -- can this end up being a $500 million product for Agilent as you look at four or five years out? I'm curious to know your thoughts, and Bob, I think you mentioned the 50 to 70 basis points of margin expansion inclusive of investments in Frederick facility. What do you think the impact was of those investments on the margins, or I guess what I'm asking is what should margin expansion have been without those investments? Thank you.
Mike McMullen: Hey, Bob -- thanks for the questions, Vijay. How about I take the first part, and then you can take the second part. So that's not out of the realm of reason, your first question in terms of the longer-term potential total revenue for Agilent. We kind of put a teaser out there earlier about our December analyst and investor day, so we'll talk a bit more about NASD when we meet, but as you know, we are really pleased with -- and we've talked about in the past in terms of getting to that exit rate of over $200 million business, and while our capacity in terms of the physical capacity is built, we're now just finishing up the first year of operations, so we're -- just like we did with our Boulder site continue to find ways to drive more productivity and efficiency out of that asset, and we just announced another expansion of another production line within that existing facility. So I hope what you're hearing is a very bullish tone, both in terms of the market growth but also our ability to get our -- more of our unfair share, if you will, to the capital share in a growing market.
Bob McMahon: Yes, Vijay, this is Bob. Just to build on that, what Mike talked about, the beauty of that business is it continues to accelerate throughout the year, and that 40% -- that roughly 40% in Q4 was the highest it was all year, and that team has done just a fantastic job of scaling that business, and we're not done, and as Mike said, we're making incremental investments in building out that capacity, which we'll continue to make throughout the course of next year. That is probably about a 20 basis point headwind next year and in the operating margin just rough numbers there, Vijay, but extremely pleased with the work that that team has been able to do, and continuing to drive that growth, and so we feel very good about that business.
Vijay Kumar: Thank you, guys.
Mike McMullen: You're welcome.
Operator: Your next question comes from the line of Puneet Souda with SVB Leerink. Your line is open.
Puneet Souda: Yes, hi, Bob and Mike. Thanks for taking the question. So, Bob, actually on one of the question on guidance, and this is probably a favorite topic for you, the Chinese Lunar New Year.
Mike McMullen: Oh yes. That's the New Year again, isn't it?
Puneet Souda: That time of the year. So, this time, obviously, you are seeing how the troops are acting on the ground, how things are there, and I would suspect it would be a lesser impact this year, lesser travel, but correct me if I'm wrong on that, and then in light of that, I mean the guidance again appears conservative. Is there anything that we ought to keep in mind for a market that is growing double-digit for you already, and is a sizable portion of your revenue? So just walk us through how are you thinking about the Lunar New Year impact here.
Bob McMahon: Yes, that's a great question, Puneet, and as you accurately state, our expectation is the impact is going to be much less this year than it was last year for all the things that you just talked about, less travel, timing of when it is, and so forth, relative to Q1, and what we're seeing is actually very strong continued recovery and performance in our China business, and I would say that there's -- Q1 is no different, and so, the story there certainly remains in tact, and I would expect it to be very strong performance in Q1. I think what we're trying to do is there's nothing in particular, but I think we're just probably taking a little more prudent approach in Europe, and as we're seeing some of the shutdowns, particularly in some of these areas. And I think as we look at where are the things that could potentially be upsides or downsides, I think that continued recovery in chemical and energy across the business, also continued performance in Americas. We're expecting kind of an average budget flush, so to speak. That's another question that's probably -- if people are thinking about by -- for the end of the year and both of those things could be better than expected.
Mike McMullen: Yes, Bob, I could just jump into that, just amplify the point, Puneet, that Bob made. We're very, very happy with our China business, and we exited the year with momentum, and that's carrying forward into 2021. We're positioning ourselves with a wait-and-see moment on C&E, and that could be a source of upside for the year, and like I said earlier, we're fully prepared to reflect that in a revised outlook, and I would just use the word, maybe, prudent as a way to describe as the adjective Bob and I have been using to describe our guide.
Puneet Souda: Okay, that's -- no, that's very helpful, thanks, and if I could get a sense on the -- in the cell analysis business, that business continues to be really strong for you, BioTek, [indiscernible] horse, other products in that product line, just wanted to get a sense of what are some of the key drivers there, is it largely the cell and gene therapy, the cellular product and drug product market, or is there something in the academic end that is driving that growth or specifically in China? Would appreciate and helping frame what's exactly happening there, and the opportunity there longer-term.
Mike McMullen: Yes, Puneet, thanks for the question, and as I mentioned in my call script, we're really pleased with how we've been able to integrate the BioTek team, make them part of the Agilent family, and then how that collective has lead to having us have a very healthy cell analysis, just north of $300 million, growing nicely for us, and I know that Jacob would love to be able to have an opportunity to talk a little bit more about the cell analysis, back to Jacob, your thoughts on the specific questions that Puneet put forward?
Jacob Thaysen: First of all, let me just echo that I think it's very impressive what Agilent has been doing here the past year, and the growth actually stems from many multiple dimensions here. First of all, we have seen, so first of all, with the testing that a lot of our BioTek portfolio has been using for that for the ELISA testing, and -- but we also see, generally speaking, imaging being very relevant in the academic markets, but also in the biopharma markets, and the [CS] [ph] portfolio with the flow of tachometry is also seeing quite a lot of interest. So it's really broad across both academic and biopharma and COVID-related that we see interest. Lifestyle analysis was where we felt a few years ago that this was an area that would continue to see in our growth. Particularly that point about immune-oncology, we're pleased that has moved into a broader understanding on the immune system, right now on COVID, but generally speaking I think would be a focus for many years to come. So very pleased, and we continue to expect good growth in that business.
Mike McMullen: Yes, and hey, Puneet, just one thing because you mentioned China, and we see really China as a huge opportunity for us going forward. The real growth has been primarily in the U.S. and Europe. I mean it's growing in China as well, but it's off a very small base. So when we think about the opportunities going forward, leveraging the large infrastructure that Agilent has is really a big opportunity for us for many, many years to come in the cell analysis space.
Puneet Souda: Great. Okay, thank you.
Operator: The next question comes from the line of Tycho Peterson with J.P. Morgan. Your line is open.
Tycho Peterson: Hey, good afternoon. Mike, I wondering if you could talk a little more on the biopharma strength, 12% on a 7% comp is obviously phenomenal. I know you had 2% from NASD, and you just talked about cell analysis, but can you maybe just talk more broadly on the strength in biopharma. Was any of this a catch-up from slower setting in the first-half of the year? And how do you think about the sustainability of demand. I know you mentioned you're thinking about an average budget flush, but can you just talk to the broader strength in biopharma?
Mike McMullen: Yes, sure, happy to do so, Tycho, and without giving away too many of the tidbits that I want to talk about more -- in more depth in a few weeks. There was no catch-up here. This is part of this continued strength in the biopharma area. It's an area of focus, and we'll go into some more detail with you in a few weeks, but it's an area of focus in terms of increased investments relative to our biopharma tools, but the instrumentation along with chemistry platform, a real workflow focus there across the whole value chain, but we're getting growth, as you mentioned earlier, NASD, but that's -- the story is much bigger, and bigger, and that's to be honest with you. And then, obviously, we're picking up some growth here in the cell analysis. So I think it's really a multifaceted strategy that really driving this growth. We think it's sustainable. We think a double-digit outlook on the biopharma portion of Agilent's business is quite reasonable. We're really excited, and it's an investment priority for us.
Bob McMahon: Yes, and Tycho, maybe if I can add to Mike's point, in terms of -- because it's not only the platforms in the portfolio that we have on the instrument basis, which we've been making some heavy investments in, but it's also been the informatics and the software piece, which is has allowed us to be able to kind of plug in to the labs, the analytical labs, and then you bring in the ACG services portfolio that helped them manage the labs, and particularly with everything that's going on right now, the last thing they want is their scientists to be managing the instrumentation. They want them to be doing the science, and so, we think we've got a very compelling software and tools offering, and I think it's showing up in the marketplace across multiple technology platforms really.
Tycho Peterson: Great, and then Mike, you used the phrase, wait and see mode for C&E a couple minutes ago, and it's good to see that back to growth, can you maybe just talk on some of the data points you're watching in your customer base and how you're thinking about the recovery curve there?
Mike McMullen: Yes, thanks Tycho. So, my comments come back from my first year as a CEO when I tried to call the trend of the C&E business, and eventually it turned out I think it was all by several quarters. So I learned my lesson, so to speak. So as Bob mentioned, one quarter trend does not make but we're very encouraged by that, because it's the first time we've seen some growth after those two double-digit declines earlier this year. And we look at a couple of things, Tycho one is the PMIs and the positive moves in the PMIs are indicative of improved end market strength, particularly in C&E, we also look at what we estimate to be the age of the installed base, because a lot of aged equipment out there, and that's been probably at very high levels, and then we look at the deal flow. So, kind of all those factors, the macro outlook from PMIs what we know to be the current environment for customers in terms of the age of their installed base, and then also overseen in our funnels, and you know, Agilent has a real strength in this market. So I think we will benefit from returned to growth, again we're not ready yet to put it into numbers for Q1 in the full-year, but we're hopeful that that trend will continue. There're some indications that it could, but let's give it another quarter or so.
Tycho Peterson: Okay, and then lastly before I hop off, one quick one on China, one of your coolest companies, Mettler, talked about pent-up demand kind of suggested that what they saw may not be sustainable. Have you seen anything in your order book that would suggest what you're seeing in China?
Mike McMullen: Yes, no, Tycho really appreciate you asking that question because not at all, I mean, this has been a continuing steady flow of business. We think the end markets are really strong here. We see a lot of strength in China Government funding to make sure they stimulate the economy, and then we talked earlier about just overall their investments in improving the quality of life, you noticed the strong growth in the food market, continued strength in pharma. So no, we've seen this. Now, I think we really look closely at the pacing and it's all nothing unusual.
Bob McMahon: Yes, Tycho, I think we've been extraordinarily pleased with the way our China businesses performed throughout the course of this year, and when you think about kind of our cadence through Q1, Q2, Q3, and Q4, we've seen accelerated growth. So we saw our lowest growth in the first quarter where we saw the impact of COVID-19, but then what we've seen is improvements as opposed to this real huge increase, and then kind of a drop-off. So, we're not expecting any drop-off, and we haven't seen that in our order book or any of the conversations that we've had with our customers that there was sort of a material catch-up.
Tycho Peterson: Okay, thank you.
Mike McMullen: You're quite welcome, Tycho.
Operator: Your next question comes from the line of Brandon Couillard with Jefferies. Your line is open.
Brandon Couillard: Hi, thanks. Good afternoon; Mike, a couple of questions on LSAG.
Mike McMullen: Sure.
Brandon Couillard: I'm curious, if you could speak to the order book in the fourth quarter, and to the extent that you may have built some backlog there, and curious to speak to perhaps the margin compression in the fourth quarter, but that was mostly mix or is today's dynamics there?
Mike McMullen: Happy to see you, Brandon. So, one of the reasons why we were able to reinstate guidance this year was what we saw in the LSAG order book, and as you know, we stopped a few years ago talking about specifics around orders, but I think in today's call, it's really prudent for us to give you a sense of why Bob and I have this confidence around the outlook. So we didn't guessed as we ran across the finish line for 2020, order book was strong in LSAG and as continued into the fairly few weeks of this year. So again, all the other caveats aside being prudent and recognition of the virus, we feel pretty good about our ability to reinstate guideline because as we mentioned earlier reinstate guidance as mentioned earlier, LSAG was one where we hit the most early on the year, and I think we're feeling pretty good about that. And Bob, as I recall, most of the gross margin is really just a mix of the various instrument platforms.
Bob McMahon: Yes, that's right. I mean, I think Brandon, to read what Mike is saying, I mean we feel very good, orders exceeded revenue and exceeded our expectations, and so, it was a bit of a mix shift that is impacting that, but we would expect that to kind of normalize out throughout the course of next year, and so, we feel very good about kind of where that business is going into 2021.
Mike McMullen: Yes, Brandon, just one additional thought here which is, we've seen a real change in the price environment. So, that's why we can say pretty common that has happened to be the mix product this quarter.
Brandon Couillard: Super, and one more for Bob, you mentioned currency with the drag to margins in the fourth quarter, could you quantify that, the magnitude of the operating line, and then what you penciled in for impact of FX to operating margins in '21?
Bob McMahon: Yes, it was roughly about 40-ish, 45-ish on the COGS line, and some of that was offset through the bottom line, and for next year less impactful, much less impactful than that, probably less than about 10 points, 10 basis points.
Brandon Couillard: Super, thanks.
Mike McMullen: You're welcome.
Operator: Your next question comes from the line of Dan Leonard with Wells Fargo. Your line is open.
Dan Leonard: Thank you. So, to start off, on the guidance, a question for probably you Bob, you've touched on this in pieces, but can you give us at a high level what your key assumptions are, by region and by end-markets?
Bob McMahon: Yes, so by at the highest level, we're expecting steady improvement throughout the course of the year from the standpoint of the economic perspective, if I think about it from a geography first, China's going to lead the way with high single-digit growth continuing the momentum that we've seen, we ended this year FY '20 about 7%, and we're expecting that or better into next year, and then what you would see as a recovery in the Americas getting back to kind of mid to high single-digits, and then followed by Europe, which would be kind of the low to mid single-digits. So that's kind of on an end market perspective, how we would think about it, it's predicated on that continued recovery, and that we would as I mentioned before, not have any extended periods of shutdown that would disrupt business. I think the good thing is what we're seeing not only ourselves, but our customers are being able to operate in a different environment than they had the first time these were shut down. So we're not expecting any material impact there, and from an end-market perspective, the strength is really going to be the continued strength that we've seen in the last several years really driven behind our pharma business, which is probably high single-digits with biopharma as one of the earlier questions came out, probably growing double-digits going forward. And then food, we'll probably expect maybe a little tempering, where it'd be great to have 16% every quarter, but we're not ready to put that into our plan, but I would expect continued recovery there probably in the mid-single-digits and also recovery in our diagnostics and clinical business, particularly in that same kind of mid-single-digits, and probably ramping throughout the course of the year, probably more muted on the academia, and government probably flattish to low, and as we talked about before chemical and energy flattish, but that's really one where we're hoping that we're biased, and there's more upside than downside here, but certainly given the momentum, but one quarter is too early to put a forecast on there, and so, we're assuming roughly flat and then probably recovery in the environmental and forensics market low-single-digits.
Dan Leonard: Okay, thanks for that overview, and that's my follow-up, you touched on there being a wider range of outcomes in '21 and typical and mentioned at the bottom end doesn't capture any threats around reestablishment of lockdowns or whatnot. Do you feel the high-end of guidance really captures all the benefits from easy comparisons, any potential upside there might be or how would you frame, what you're capturing in the high-end there?
Bob McMahon: Yes, I'd say it's continued momentum, but I think that there's probably more upsides and downsides in the way that we're trying to capture that certainly exiting at a 6% growth rate, there are we're probably the biggest areas are around chemical and energy and the pace of recovery in academia and government, and if those continue, I would say - let me put it this way, if chemical and energy continued at 3% and growing, we'll be that number.
Dan Leonard: Yes, absolutely. Thank you.
Mike McMullen: Thanks, Dan.
Operator: Your next question comes from the line of Douglas Schenkel with Cowen. Your line is open.
Douglas Schenkel: Hi, good afternoon guys.
Mike McMullen: Good evening, Doug.
Douglas Schenkel: Maybe I have a few cleanup guidance questions, but before I get to that one, I just wanted to talk about your performance specific to your mass spec product line. You talked about another quarter of double-digit growth. I'm just wondering if you'd be willing to unpack that a bit more and just talk about what's driving this, and specifically is China and more specifically China food, a major driver, I guess I'm just trying to get at which segments of the portfolio or specific end markets or geographies that really stand out within a pretty robust and impressive growth rate there?
Mike McMullen: Hi, Doug really appreciate the opportunity to have Jacob comment more deeply on that, but as you know, I highlighted that in my script, we were able to call out that double-digit growth. We're extremely proud of that. And Jacob, I think you've got some additional insights that you could share with Doug.
Jacob Thaysen: Yes, that's a great question, and I'm certainly proud of what the team has been doing over the past years, because this is not only a quarterly effect here, but we have done a quiet and overhaul of our master portfolio, particularly the LC/MS portfolio over the last few years, both on the high-end triple quad, but also the single quad, and [indiscernible] the team applications, and this is really what the customer is looking for right now. So, you can really see that the investments we have done really resonates with our customer base, and right now, I would say in most geographies and in most end markets, but if you look into it's biopharma and China is definitely a big part of this story, but -- and the other element into it is that we pivoted very quickly to remote customer engagement during this beginning of this year, and when the customer has to shut down the laboratories, we were there for them. We did support them when the tough times, and you can see that pay dividends today that they also continue with the partnership with accidents. So, I actually believe that we are in a quite good momentum here with the mass aide business.
Douglas Schenkel: Yes, all right.
Douglas Schenkel: Yes, that sure does. Thank you for that, and then maybe just a few guidance questions, yes, so this'll be kind of a speed round in a way, because you have got some questions about these already, but on China, did you expect double-digit growth in fiscal '21? On gross margin, you talked about some of the headwinds you saw in Q4 becoming less pronounced moving forward. So, do you expect gross margin overall to get back up to the 56 plus level? And then on COVID-19, I think you talked about just over two points of COVID tailwinds in the quarter. I'm just wondering if looking forward either fiscal Q1 or for the full-year, if you could see a scenario where this would accelerate over time if serology volumes began to inflect in a positive way and same thing on the antibody business, could those in combination drive more of a tailwind moving forward, so China gross margin and COVID-19?
Bob McMahon: Yes, so China, high single-digits, maybe low double-digits based on the range that we gave you in terms of COVID what I would say is, we are expecting less incremental the growth, but certainly the things that you talked about are baked into our guidance. So more serology our antigen based testing or even vaccine driven volume is not fully baked into the numbers that we are -- it's just too early to tell, but those are certainly be things that are potential upsides, and then the last one, I know which was your second question around gross margin, I would expect it to stabilize and not see this the same level of decline. Now, what I would say is you will have some mix shifts, right, because our ACG business, which is lower gross margin than the instrument business, but much higher operating margin helps us with that. So, you do see a dampening effect on the gross margin side, but you will more than make up for it on the operating margin side.
Douglas Schenkel: Okay, Bob. Sorry.
Bob McMahon: Doug specific to COVID-19 we'll hit a little bit more of that when we have our Analyst Day, but we are planning to launch in early 2021 our serology test, and there are some things that we're working on that aren't baked into the guide. We'll see how that they play out.
Douglas Schenkel: Okay, that's great. Thank you guys for all the time and happy Thanksgiving everybody.
Bob McMahon: Same to you.
Douglas Schenkel: Thank you.
Operator: Your next question comes from the line of Derik de Bruin with Bank of America. Your line is open.
Derik de Bruin: Hi, good afternoon.
Mike McMullen: Hi, Derik.
Bob McMahon: Hi, Derik.
Derik de Bruin: Hi, so I'm going to do this similar to Doug. I've got a couple of focus questions. I got one guidance cleanup. So I guess specifically, Bob, you mentioned some software pushes in business between the pharma business. Can you be a little bit more specific on that? I mean, is OpenLab taking share against Empower, you winning have be replaced Empower and some of the accounts there, I'm just sort of curious on what the dynamics are in the CDS market?
Mike McMullen: Yes. What I would say Doug, excuse me, Derik, is that we feel very good about our competitive positioning with OpenLab and the rest of our products.
Derik de Bruin: Okay. Now I'll live with that I guess. Yes, and by the way, I'm better looking than Doug. On the Core Genomics business, I mean, we don't really have talk about that. I mean, you talk about the NASD and some other things here, but what is going on in your Core Genomics business, you've got SureSelect, I mean, you've had some pressures and some of that end market there. What is that underlying business growing?
Bob McMahon: Yes, actually a great question because we didn't highlight that, but actually when you look at sequential performance, that was one of the things that was very, very positive in the DDG business. It recovered very nicely into Q4, and maybe I'll let Sam talk about some of the details there.
Sam Raha: Yes, sure. Thanks, Bob. As you said, as we went into the heavy part of the pandemic, if you will, late Q2, Q3, some of the Genomics business also serves clinical diagnostic customers be it for SureSelect being the backbone and some of the leading cancer diagnostic and US-based tests as well as other inherited diseases. So we definitely saw the effect of that, but coming into Q4, we've seen a steady stream of increase there, and we've also seen a positive effect in parts of our portfolio that are related to qPCR be it instruments, be it our consumables that are used and also we have the leading Genomics QC portfolio as you're probably aware of, and we see a number of those products, including our fragment analyzer being used increasingly for picking up conventional or sorry, would the pickup of conventional clinical testing, but also being used for example for some siRNA vaccines that are in development. So, all-in-all, the trend is looking encouraging for our Core Genomics business.
Derik de Bruin: Great, and then just one housekeeping question. For '21, the other income expense line, how should we think about that for '21? Bob do you want to handle that or you want to take that?
Bob McMahon: Yes, that'd be slightly better than where it is this year.
Derik de Bruin: Thank you.
Operator: Your next question comes from the line of Jack Meehan with Nephron Research. Your line is open.
Mike McMullen: Hello, Jack.
Jack Meehan: Thanks. Hi, good afternoon. Let me go back to biopharm, Mike, I was curious if you're seeing any change in terms of customer spending patterns at all, because of COVID-19, there is just been such a focus on bioprocessing, the support vaccines and therapeutics. What's that doing in small molecule if you can call out any trends?
Mike McMullen: Jack, great question. So, to our delight, it really hasn't seen them cause any kind of material shift. I mean, we're seeing -- in fact, I think Bob in his script, where we saw strength across small molecule and bio -- large molecule. Now the small molecule is not growing as fast as large molecules, it was growing, and…
Bob McMahon: Yes, Jack to give you some numbers, I mean for Q4 small molecule grew high single-digits, and for the year it grew low single-digits. So despite all the hoopla, small molecule is not dead.
Jack Meehan: Yes. Great, and maybe just to build on that, so the high teens ACG growth in China, could you just parse out for us? How did food do versus how did maybe generics do in terms of some of that consolidation there?
Mike McMullen: Bob, as I recall, and I'd like Padraig on this, I think it was broad-based across all end-markets. Everything was in that double-digit range, and Padraig anything you could add to that?
Padraig McDonnell: No, I think you said it well, Mike, I think across both sides of the business, both the chemistries serves as very strong demand in all markets, and we see certainly a strong demand for our installation familiarization and startup services. So I'm really strong across the board in China.
Jack Meehan: Great, thank you, guys.
Operator: Your next question comes from the line of Patrick Donnelly with Citi. Your line is open.
Patrick Donnelly: Hey guys, thanks for taking the questions. Let me follow-up on the --
Mike McMullen: Hi, Patrick.
Patrick Donnelly: Hey, Mike, just on the chemical and energy side, it certainly sounds like that's the biggest area of upside, maybe the biggest variable for next year. Sounds like chemicals and material things are improving, can you just give a bit more detail around the customer tone there, and then is energy the bigger variable for '21 maybe just talk through kind of the scenario analysis as you guys think about it certainly seems like there's upside, but maybe just kind of what parts of the business you feel like are the biggest variable there?
Mike McMullen: Yes, I think that sort of all the kind of this always helpful reminder, but in a kind of our mix, so it's 70:30, 70:30 in chemicals and materials, and 30% energy. Actually the upside on the chemical and material, energy lags, and we aren't really seeing a lot of indications of why that would, that would pick up, but you have to remember some of the chemical companies are actually providing products and such into end markets that support COVID-19. They're feeling, what drives this marketplace? Yes, we talked about PMIs, but really all the PMIs are really related to the view of global growth, and I think that customer base is feeling more confident about where the economy is going and things this shut really slowed down earlier this year just for a must kind of purchases, but I think it's a prove view of the overall economic outlook for the chemical and materials side plus the fact that they have some kind of COVID-19 tailwind to help out. I wouldn't say that's the entire story is just the element of it. I think the biggest part here is just the fact that there's much more common in the customer base about the growth environment from an economic standpoint, Bob anything you would add to that?
Bob McMahon: Thank you, Mike. I don't.
Patrick Donnelly: Okay, yes, that's very helpful, and then maybe just on a capital deployment side. You guys always take the balanced approach, and I'm sure we'll hear more about it in a couple of weeks, but how are things trending in the pipeline on the M&A side, your cash flow has actually been pretty strong? How active should we expect you guys to be on that front? Any changes and thoughts around the size of deals you want to pursue, and any metrics you can throw out there would be helpful? Thanks.
Mike McMullen: No, no we continue to be very interested in deploying capital for growth standpoint along all the dimensions we talked about earlier. We said that the BioTek size deal, which we were really quite happy with that, that was largest deal we've done to-date. That doesn't mean that would be the largest deal we would do. We've always said, I think it was not magnitudes of delta, and although we didn't closed any deals this year, I think that really was somewhat tied into some of the COVID-19 challenges of doing due diligence and working with potential targets, but we still see this as a key part of our, what we call, our build and buy growth strategy, and think that M&A can be a nice attitude to our core growth businesses. So you guessed right, so we'll talk more about it in a few weeks. We still have aspirations in the space, but really sticking to the model, the framework that we've been using before, which is M&A in markets at a higher growth investor company that aligns strategically with us where they can benefit by our scale and are accretive to the P&L.
Bob McMahon: Yes, I would say Patrick, just to build on what Mike was saying. I mean, we feel very good about the acquisitions that we made, the last two which was BioTek and ACEA were probably the fastest growing parts of our business, if you take out NASD, and so, I think it validates the space that we're looking at, and we don't see a reason to need to change our M&A framework.
Patrick Donnelly: Okay, thanks guys.
Operator: Your final question comes from the line of Steve Beuchaw with Wolfe Research. Your line is open.
Steve Beuchaw: Hi, thanks for sneaking me in here. I'll just ask one maybe I guess it's a two-parter; one part for Mike, one part for Bob, and…
Mike McMullen: Okay, I'll be giving easy one.
Steve Beuchaw: I think you're going to like it. I think you are going to like it.
Mike McMullen: Okay.
Steve Beuchaw: Mike, so last call, you raised this concept, you called it a flight to quality, and you talked about how the team with the execution has been able to drive share gains, I wonder if you could talk about whether you think that as the pandemic subsided in some ways and labs are opening up again, if you think that dynamic has become any more or less acute, and if you think it's sticky, I'm going to go ahead and ask the second part of my -- I guess I'll call it COVID discovery question for Bob; Bob, like a lot of CFOs, you've had a chance to see how much you can save within operating expenses, as we're all working remotely and being more digital. Have you thought about putting any numbers around how much of the savings that you've discovered here could end up being permanent? Thanks a bunch, everybody.
Mike McMullen: Yes, thanks, Steve. So, in regards to the first one, we probably talked about the flight to quality when money is tight, but we also think tied it to stability, and how we protected our overall field team and our ability to support our customers during the pandemic. So, I think those two things are going to carry us forward. So we think that the stickiness will remain there, and I don't think that the quality will fall out of fashion, and I think as you continue to grow your position in the installed base, it just gives you an upper hand in terms of next buy when they get around to making the next capital purchasing decision.
Bob McMahon: Yes, I would agree with that, Mike, and I think that, you know, I think two things; one is, we were there when the customers needed us the most, and our team particularly in the field, helping support critical operations and so forth, and that flight to quality on the instrumentation side only pays dividends going forward. So, I think there is no -- there will be no follow-up there, I truly believe that. On the cost side, we're still working through some of those things, a big thing, probably the biggest variable here, and it's got a couple of different tentacles to it would be around travel, and I think we had talked about before at one point in time we're spending roughly $10 million a month in travel, and that that is down, I would say substantially, and our goal is that will be back to $10 million a month, and so, that doesn't say that we're going to necessarily drop it all to the bottom line, but reinvest in some areas that will drive growth going forward, but certainly those, and then there will be more efficient ways of doing things like marketing outreach to our customers, and even operating, one of the things is we still operated and launched new products, despite not having been in the labs for the most part for nine months out of the year, and so, our teams are finding innovative ways to continue to actually move things around without having to spend incremental dollars, so more to come on that.
Mike McMullen: We think [some things] [ph] are going to stick. Particularly, as it relates to your digital engagement with customers, because there's a huge element of being responsive, and we think that digital cable is a big part of that story, and yes, it has been accelerated by COVID, but we don't think there's any going back either.
Steve Beuchaw: Got it. Thank you for all the color, guys.
Mike McMullen: You're quite welcome.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.